Paul Keel: Good morning, everyone and thanks for joining us today. With me in London this morning is our CFO, Clare Scherrer. In terms of the running order, I'll offer a few thoughts to set the stage; I'll hand it over to Clare to take us through the numbers, and then I'll come back to talk about the strategic and operational progress that we made throughout the year. Then, as always, we'll close with your questions. By way of overview, fiscal 2022 was a year of accelerating growth and stronger execution for Smiths, enabling us to carry good momentum into fiscal 2023. We delivered accelerating growth across the year with organic revenue up 3.8%, our best performance in nearly a decade. With the help of creative M&A and second half currency benefits, we delivered nearly 7% of reported growth. EPS was stronger still, up 18%, driven by good profit conversion and well-executed share buyback program. And strong order growth of 11% means we carry this good momentum with us into fiscal 2023. Now, in addition to growth, we also made good progress on execution. In a challenging macro environment, organic operating margins again proved resilient as our high value model supported pricing actions that offset raw material and wage inflation. Return on capital employed expand by 30 basis points underpinned by 12% reported operating profit growth. Our Smiths Excellence System is central to this improved execution. SES is now fully embedded across the enterprise, and a first wave of high impact projects is underway. SES is also helping to accelerate cultural change at Smiths. This evolution is supported by new leadership appointments we made throughout the year, well-balanced between internal promotions and bringing in new skills. Our refreshed senior team is collaboratively leading a faster pace across the group. In addition to improved financial performance, you can see this in a number of other ways. For example, by closing the Medical sale more quickly than expected, by accelerated progress on ESG, and by the overall business improvement you see in the results. Over the past 12 months, we put in place the company's first Chief Sustainability Officer, established a Sustainability Committee on our Board of Directors committed to ambitious science-based targets that define our path to Net Zero, and embedded these goals into our compensation programs. All of this helps translate our commitment to ESG into swift and tangible action. In summary, fiscal 2022 was a year of accelerating growth and stronger execution for Smiths, our energized and capable global team is well-positioned to capitalize on this good momentum here in fiscal 2023. Now, before we dive into the details of last year, let me remind you of Smiths' longer term strategy captured in our value engine, which connects the three key components of our success; our purpose, our strength, and our priorities. Our purpose; to improve our world through smarter engineering [ph] is both timely and timeless. It describes who we are as well as who we aspire to be. Our strength, though unique and compelling, world-class engineering, leading positions in critical markets, global capabilities, and a robust financial framework. Our purpose and strengths are then directed towards advancing three key priorities for value creation, accelerating growth, improving execution, and doing even more to inspire and empower our wonderful people. We measure our progress by tracking five medium term financial commitments; organic revenue growth, EPS, ROCE, operating margins, and cash conversion. As you can see from slide seven, we're making good progress and delivering meaningful year-over-year improvement, organic growth was 3.8% for the full year, having accelerated into our 4% to 6% committed range in the second half at 4.1%. EPS growth of 18% was comprised of 15 points from business performance and three points from share repurchases. ROCE was up 30 basis points to 14.2%, while margins were up 80 basis points to 16.3%. Although this delta was flattered by COVID restructuring in fiscal 2021. Finally, we delivered solid operating cash conversion of 80%, down from our prior five-year average of 108%, but not unexpected, as we made a number of investments in working capital to service record demand. So, on balance, a good set of results. It's now been a little over a year since I joined the company and I'm pleased with the progress we're making and confident of continued gains. Let me now hand it over to Clare to walk us through the numbers.
Clare Scherrer: Good morning. I'm Clare and I joined Smiths in April as Chief Financial Officer. I've met many of you already and for those I've not yet met, I very much look forward to doing so and discussing the exciting opportunities ahead of us. I worked for many years as a financial adviser to Smiths, so I know our business well and appreciate our market leading positions and our strong financial framework. And following Paul, being appointed as Chief Executive and the Divestiture of Medical, I felt that Smiths presented a unique opportunity to help an intrinsically strong business to reach its full potential. So, I signed up to be part of the team. Without Medical, we are now a focused industrial technology company with clear group and divisional priorities and growth and execution roadmaps that are already delivering results. I've worked with global industrial companies for over 25 years, so I bring an informed perspective on our divisions, as well as a deep understanding of our peers, a team orientation, and a drive to deliver against our commitments. I'm excited about the progress we've already made and I am squarely focused on delivering against the significant opportunity ahead of us. In FY2022 , we made good progress executing our strategy. We delivered organic revenue growth of 3.8%, or 6.7% on a reported basis. We navigated a volatile macroeconomic environment and a number of supply chain challenges, especially in the second half. We delivered 1.7% organic operating profit growth, or 12% on a reported basis. Good operating results coupled with the effect of our ongoing buyback enabled us to deliver 17.8% earnings per share growth. Operating cash conversion was a solid 80%. This conversion rate reflects the investments we made to secure timely access to the inputs we needed to deliver for our customers and to invest in our future growth initiatives. These operating results drove an increased return on capital employed to 14.2%. Reflecting our confidence in the future, the Board is proposing a total dividend increase of 5% for the year. Let's focus first on revenue and the momentum we're building. As you can see on the bar graph, both our reported and organic revenue growth accelerated throughout FY2022, delivering 6.7% reported growth for the year. Organic growth of 3.8% was complemented by M&A and FX translation. The Royal Metal acquisition, which we closed in February of 2021, contributed 1.8% of reported growth for the year. FX, which started the year as a headwind, became a tailwind in the second half and contributed 1.1% of reported growth. Now, putting our accelerating organic growth in perspective, for the 18 months preceding COVID, our industrial technology businesses grew at around 3%. Then during COVID, our portfolio proved incredibly resilient, having declined less than 5%. And now in the last 18 months, we've demonstrated our ability to return to and accelerate growth with five straight quarters of growth. Our operating margins proved very resilient in a challenging macro environment. Reported margins increased 80 bps, including the contribution from Royal Metal and the year-over-year impact of the FY 2021 restructuring charges. The organic movement of 30 bps reflected improvements created by the FY 2021 restructuring actions; pricing, which more than offset cost inflation; the impact of supply chain disruption and lower fixed cost absorption; and most importantly, our continued investment in growth, including increased R&D, all of this resulting in a 16.3% margin for the year and £417 million of operating profit. We delivered strong EPS growth of 17.8%. In addition to the drivers we just discussed, this also benefited from a lower effective tax rate due to geographic mix and our buyback program, which reduced our average shares in the period by 2% to £387 million. As of last Friday, we were 76% through the buyback program as we continued to proceed at pace with the return of capital. Strong cash generation is central to our financial framework. We generated £332 million of operating cash this year, or 80% of operating profit, which was a good result in a challenging macro context. Working capital as a percent of sales increased 180 basis points to 29%, as we invested to secure supply and continue to invest for future growth. As supply chains normalize, we would expect this metric to improve. Our CapEx was one and a half times depreciation and amortization, reflecting investments we made in the business to support growth. For example, Smiths Interconnect, we invested in automation across a number of our sites and in Flex-Tek, we opened a new U.S. facility. Free cash flow generated for the year was £130 million, a result of the operating cash conversion below our usual 100% plus performance. Now, to give you more color, let's look at the results by division, firstly, John Crane, our largest division. John Crane delivered organic growth of 3.7% with growth and strong demand across all segments. This growth was despite stopping sales to Russia in March that represented 110 basis point headwind in the second half. Operating profit of £188 million reflects a margin of 20.9%. Pricing actions offset cost inflation, but margins were impacted by supply chain disruption and we took mitigating actions, for example, expanding our supplier base and creating targeted teams to address specific issues to help limit the impact of this disruption and this remains an ongoing focus. In addition, John Crane invested in R&D, positioning us for the longer term opportunities for methane management and energy transition. With this combination of cyclical and secular demand, John Crane has good momentum into FY 2023. Order intake was up 10.5% including exciting new contract wins. For example, a new contract from NatureWorks, one of the largest producers of biopolymers, and the NEOM Green Hydrogen Project in Saudi Arabia. These contracts further cement John Crane's leadership in major sustainability and energy transition themes. In April, Bernard Cicut joined John Crane as Division President, bringing with him a wealth of experience in managing global industrial businesses. And given his experience, he's identified some targeted actions to simplify our end-to-end value chain to drive further efficiency and better serve our customers. Moving next to detection, which as anticipated was down 9.4% for the year, but with signs of improvement as we enter FY 2023. The aviation OEE segment offset good growth from other security systems and aviation aftermarket. Detection was also impacted when we stopped sales to Russia, with a 70 basis point impact in the second half. Operating profit of £73 million with margins of 11.1%, reflects the lower volumes and supply chain challenges, particularly the scarcity of electronic components and increased logistics costs. We continue to invest in R&D, focused on long term critical technologies, such as diffraction and chemical and biological detection. Looking ahead, we expect detection to return to revenue growth in FY 2023. Key contract wins across both segments and 13.9% order growth underpin our confidence in the top-line. This order book includes multi-year contracts, many of which are for delivery beyond FY 2023 and demonstrate that demand is returning. We expect some supply chain headwinds to persist throughout FY 2023 and we're taking restructuring actions accordingly, so that detection can deliver stronger operating leverage as the business returns to growth. Next, to Flex-Tek, which delivered a record year, record sales growth, record profits, and record margins. Organic revenue grew 16% with double-digit growth across both the industrials and aerospace segments. Operating profit of £133 million represented an increase of 21.7% and margins rose to 20.6%. This profit performance was driven by increased volumes, our pricing power, and effective supply chain management. And this strong performance builds on an impressive track record with over 13% revenue and operating profit CAGRs over the last five years. We continue to expand Flex-Tek's product offering. We launched a major new product in the fourth quarter Python refrigerant line sets, which Paul will talk about in more detail later. New product launches coupled with continued aerospace recovery give us confidence in Flex-Tek's resilience in FY 2023. We are however, keeping a close eye on the macro forecasts, especially for the U.S. construction market. And although macro data indicates softening, we're not yet seeing that in our business. And finally to Smiths Interconnect, which also delivered record sales growth, with organic revenue of 13.9% growth. Demand is strong for our Interconnect products, particularly in semiconductor test and for our space and defense products. Operating profit of £65 million and margin of 18% was an impressive performance driven by top-line growth, good price management and the benefits of the previous restructuring program. And we look to this year our order book, coupled with the pipeline of new product launches supports our expectation for continued positive momentum. Now, turning to our very strong balance sheet. This was enhanced by the sale of Smiths Medical in January. In addition to the £1.3 billion in cash proceeds, we have a 10% shareholding in ICU Medical valued on our balance sheet at just under £400 million. Plus over time, we have the possibility to achieve a further $100 million earn-out. Consistent with our commitment to return surplus capital, in FY 2022, we initiated buyback program to return £742 million. We expect the buyback to complete in early calendar 2023 and at completion, we anticipate the share count will have reduced to approximately 346 million shares, about a 13% reduction. This return on capital is on top of the proposed 5% increase in our total dividend this year. To further strengthen our balance sheet, we applied part of our cash proceeds to debt reduction. In February, we repaid a $400 million bond resulting in net debt to EBITDA of 0.3% at the end of FY 2022. And in June, we also announced the final buy in for one of our main U.K. defined benefit schemes, the TI Group Pension Scheme. This means that all liabilities in the scheme are secured by insurance and once the buyout process is complete, we will transfer both the liabilities and assets off of our balance sheet. It's a multi-year process, but the key message is that once concluded, we will have achieved greater certainty for both pensioners as well as our shareholders. With our other major U.K. defined benefit scheme, the Smiths Group Industries Pension Scheme, we will work diligently over the coming years with a goal to also achieve buyout status. Looking ahead, we feel good about what is in our control. Our focus plan to deliver growth and execution, our order book, and our new product pipeline. However, we recognize we're navigating record inflation and an unstable geopolitical and macro environment, balancing these tailwinds and headwinds in FY 2023, we expect to deliver 4% to 4.5% organic revenue growth with moderate margin improvement. Now, let me hand over to Paul who will elaborate on our confidence in our growth, execution, and people as we enter FY 2023.
Paul Keel: Thank you, Clare. Having now shared the financial results, let me give you a better flavor for the strategic and operational work that underpins this performance. And I'll do that in the frame with the three main priorities you saw earlier on the value engine, growth, execution, and people. We'll begin with accelerating growth and you might remember this slide from last fall's Capital Markets event. It lays out the four levers for accelerating growth. The foundation of long-term sustained growth for Smiths is grounded in the attractive markets in which we compete. Across decades, we've built leading positions in critical global markets, most of which are experiencing strong demand at present. The second level is growth from new products. Smiths is an engineering company and new products are the fuel that powers our value engine. Over 171 years, we've earned our leading market positions by solving our customers' toughest problems. In a moment, I'll provide an update on some of the new products we launched in FY 2022, as well as a preview of what's in store for this year. In addition to participating in strong underlying market growth, our competitive positions also give us platforms from which to access attractive adjacencies. And this is the third level of our growth pyramid. Now, on top of it all, well, ours is principally on organic growth strategy, we have had good success, leveraging disciplined M&A as a supplement. As Clare explained, in addition to 4% organic growth last year, we delivered nearly two additional points of growth from M&A. Now, let's walk through each level of the pyramid beginning with an update on our markets. As you know, we compete in four major global end markets; general industrial, safety and security, energy, and aerospace. This year our organic growth in our largest end market, general industrial, was up over 11% and this was driven by John Crane's performance in segments like water and life sciences, interconnects, double-digit growth in semiconductor test, and Flex-Tek's record year in construction. In safety and security, we were down 6%, reflecting our large share of the aviation security market, the OE component of which was still in decline. Importantly, though, all other segments of Smiths Detections business are now back in growth, including aviation aftermarket. In addition, we saw orderbook growth in fiscal 2022, which underpins our confidence that Smiths Detection will return to growth in fiscal 2023. We saw broad based demand across the energy market, with our sales up 3.5%, despite second half impact from the cessation of sales into Russia. As Clare mentioned, we're seeing multiple opportunities arising from energy transition, for which John Crane is well-positioned. This provides a tailwind for us both in the near-term and the longer term. Our fastest growing market was aerospace, where we were up 15%. We benefit from the underlying market growth here in both Smiths Interconnect as well as Flex-Tek. The longer term outlook for this market is quite encouraging, as the demand for new aircraft over the next 20 years, is expected to be double that of the past 20. Now, it's important to note that each of our end markets is at a different point of expansion. We just posted record growth for instance, in the well-established satellite communications market, while energy transition is still in the early days of what looks to be a long-term megatrend. Our portfolio, balanced nicely both geographically and by market segment, dampens volatility in any one area. And this supports sustained growth across the group over time. Smiths has now posted five consecutive quarters of positive growth and the combined effects of all we see across our portfolio gives us confidence for further acceleration in FY 2023. As mentioned, we're having good success with NPD. During fiscal 2022, we launched 2021, high impact new products and you see some of those here. In the interest of time though, I'll only mention three. Last year, Interconnect shipped the world's first 28G optical transceiver for space applications. This technology enables satellites to communicate at faster speeds, while being robust enough to perform in the harsh environment of space. We're leveraging the core technology from this platform for another family of high speed transceivers this time for defense applications and these are set to launch in fiscal 2023. Also in fiscal 2022, Flex-Tek launched our Python family of line sets. This is a flexible multi-layer solution that's used in a variety of HVAC applications. Lighter weight easier to install, and both UV and chemical resistant, we expect this platform to make a big difference for our customers. John Crane's Carbon LF is a line of seals that addresses customer needs in the fast-growing liquefied natural gas market. This platform employs a new carbon graphite material, which is particularly effective in critical applications and as such, the platform is gaining share quickly. Looking forward to upcoming launches this year, Smiths Detection is currently developing the next-generation of body worn chemical detectors that address the advancing threat from solid and liquid agents. As you can see from this chart, we have a number of other launches lined up for this year. New products are the lifeblood of Smith and to ensure that we continue capitalizing on the wealth of opportunities in our pipeline, we increased R&D investment by 14% last year, which brings us to a bit over 4% of sales. Moving now to the third level of our growth pyramid, let me give a brief update on the progress we're making building out priority adjacencies. Each of our businesses are executing strategies to expand beyond core positions to support our customers more broadly. Again, in the interest of time, I'll only touch on two examples today. Environmental protection on the left side of slide 29 and high speed sat communications on the right. Environmental protection is a growth driver for all four of our businesses and especially so for John Crane. Energy transition describes the multi-decade transformation of global energy supply from fossil-based to zero carbon sources. Most estimates measure the scale of this task in the trillions of dollars and work is already well underway, driven by unprecedented public support, technological innovation, and ultimately, favorable market forces. John Crane participates in this megatrend in a number of ways. For example, Clare touched on NEOM Saudi Arabia's $500 billion emission smart city that's under development on the Red Sea coast. John Crane recently won all 20 Turbo seals for the first wave of the city's hydrogen-based power generation. Now, a key part of Crane winning these contracts was our sense technology that was developed by leveraging Smiths Detections digital capabilities. On the prior slide, I mentioned Carbon LF and the role it's playing in the surging LNG demand that we're seeing globally. Also, in fiscal 2022, John Crane launched a new multipurpose filter. This one is used in industrial end markets and provides an automated self-cleaning system that can recycle over a million liters of plant water a day. This is a terrific resource for our customers as they work to deliver their own sustainability commitments. In building out targeted adjacencies, we often use both organic and inorganic tools. Satellite communications is one such example. Smiths has participated in the sat-comm market through many years with our ruggedized connectors. We built on this position with the acquisition of Reflex Photonics in 2019 and that business has more than doubled under our ownership. We then further built on our position with the high-speed transceiver launches that I just described. Both environmental protection and satellite communications are examples of enormous secularly attractive adjacencies that Smiths is uniquely positioned to serve because of the combination of our engineering strength, our customer relationships, our global reach, and our highly cash generative financial model. Let me now say a few words about execution. It's the operating cadence that we're building to take advantage of the many opportunities we see before us. Our approach is centered around the Smiths Excellence System, a continuous improvement approach that's based on LEAN, Six Sigma, and agile development principles. This year, we successfully embedded SES across all of Smith, with a resource team spanning all four divisions and most of our major countries. The team includes SES coordination and support at the group level, six full-time Master Black Belt, 23 Black Belts, and hundreds of Green Belts. Our team is now fully trained and the first wave of 25 Black Belt projects are underway. All of these visibly align to our top priorities of growth, execution and people. It's important to emphasize that SES is an enterprise-wide effort. We've embedded common strategy tools, training, and tracking across all our businesses and as you'll see on the next slide, SES is an ideal vehicle for quickly replicating successes and building talent across our company. Specific delivery targets are in place and our projects are beginning to yield results. With our focus now squarely on fiscal 2023, we are working to scale the impact of SES every day becoming an even more purpose-driven, customer-centric, and results oriented organization. Our current Black Belt projects support an array of growth, execution, and people objectives. For example, to support growth, we have a number of projects underway to service are surging demand. These include increasing capacity, shortening lead-times, and accelerating service responsiveness. With respect to execution, examples include order book conversion in John crane, waste reduction in Flex-Tek, and inflation management across the group. SES is fundamentally about people. So, we have a number of projects underway to advance training and onboarding, personal data protection, and safety again, across all of Smiths. SES is a company-wide initiative, our Black Belts and Master Black Belts are in constant dialogue with one another, sharing ideas, and building on one another's successes. Speaking of people, let's turn to that now. Safety is always at the forefront of everything we do. A recordable incident rate of 0.6 places you in the top quartile of all manufacturing companies. And our figure for FY 2022 was just 0.5, roughly the same as our prior year. Safety is also an important element of our integration efforts for Royal Metals, where we've achieved a 50% reduction in accidents since closing the transaction. In terms of development. Last year, we introduced Smiths' leadership behaviors as a way of providing a unified description of what leadership means at Smiths, as well as a shared commitment to how we'll act as employees of this great company. The seven behaviors were selected by a global team through a series of employee discussions across 21 countries and 71 sites. One of the seven behaviors is leading inclusively and we made continued progress last year towards our DNI goals. For example, today women represent 45% of our Board, 31% of our executive team, and 24% of all senior manager roles. So, we're encouraged by our progress and energized to do even more. We made a number of important leadership appointments in fiscal 2022. Over the past 12 months, seven capable and collaborative leaders joined our senior team. We elevated three roles in alignment with our growth focus, Smiths China, SES, and Strategy and we welcomed four new leaders to Smiths; Clare as our CFO, Vera Kirikova as Chief People Officer, John Ostergren as Chief Sustainability Officer, and Bernard Cicut to lead John Crane. Across the appointments, I feel we struck a nice balance by both promoting top talent from within Smiths, and bringing new skills and perspectives from outside our company. Slide 36 provides an update on our sustainability progress. In support of growth, we're making R&D investments in green technologies, such as the environmental programs for John Crane that I described earlier; more energy efficient solutions in Smiths Detection, electrical heating in Flex-Tek, and electrification infrastructure in Smiths Interconnect. In supportive execution, we drove further year-on-year improvement in renewable energy up 2%; in water usage down 4.5%; non-recyclable waste down nearly 12%; and greenhouse gas emissions down 7%. In support of our people priority, we launched our new Sustainability at Smiths Strategy, which will be set out in fall in our inaugural sustainability report in October. We also launched a Community Giving Initiative, which we're piloting here in the U.K., and hope to expand more broadly moving forward. So, that's a brief update on some of the many strategic and operational activities that underpin the performance that Clare walked us through earlier. And FY 2022 was a year of investing in our people. We refreshed our senior team to lead at a faster pace and we're building an ever more diverse and inclusive workplace. We now carry the strong momentum with us in fiscal 2023, expecting to deliver further acceleration to 4% to 4.5% organic growth and moderate margin improvement. But we are not immune to nor dismissive of the very real geopolitical and macro-economic challenges that exist, we're proud of the progress we've made and confident of continued improvement moving forward. I'll wrap-up with a few closing thoughts. At last fall's Capital Markets event, we laid out a plan to bring Smiths performance in line with our vast potential. As part of that, we committed to a set of medium term financial targets, so we could measure our progress together. Now, less than a year later, I look back on all we've accomplished and I can't help but feel even more excited about what we're building here at Smith. And for that, I'd like to thank all Smiths' employees around the world for all that you do to make this progress possible. In the same way, we're grateful for the strong support we enjoy from our customers and shareholders. With that, I'll pass it back to our operator for any questions you might have.
Operator: [Operator Instructions] And the first question comes from the line of Andrew Wilson from JPMorgan. Please go ahead. Your line is open.
Andrew Wilson: Hi, good morning, everyone. Thanks for taking my questions. I've got two. If I can just start I guess looking -- I guess just to try and understand some of the margin dynamics for FY 2023. Clearly the guidance is there for the moderate expansion, but just wondering if you can help a little bit with some of the moving parts? Obviously, you provided a good level of detail for 2022 and I guess just even kind of the building blocks, particularly, I guess I'm interested in understanding around supply chain. And if you've seen any easing into the year end, maybe the start of this year, or whether we should expect it, I guess sort of similar headwinds again in 2023 if I start there?
Paul Keel: All right. Thanks, Andy. You said you had two questions, right? The first one is on margins, you'll come to the second.
Andrew Wilson: Yes, I'll come back to -- it's probably easier -- it's different. So, I'll come back to it.
Paul Keel: All right. So, let me give you the broad balance on margins and we'll let Clare fill in some of the details. There's two things going on in our business, the first is their natural scale economies that come from industrial technology businesses like ours. And so it's the growth and the volume accelerates, we get benefits from that. Those are offset by the macroeconomic forces that are well understood. So, although we covered both raw material and wage inflation, that's running through the P&L. Similarly, there are inefficiencies in the supply chain because of supply shortages and whatnot. So, it's that broad balance between scale economies from faster growth and these curious supply chain and macro impacts that the -- all the world's battling right now. And that comes out to the flattish margins that you saw in fiscal 2022. Clare any more detail to that?
Clare Scherrer: Yes, I would add that this year, the 16.3% operating margin we delivered, we view as very resilient given the supply chain environment that Paul just highlighted, and especially in the second half. When we look forward to next year, we believe we can improve slightly on this. The tailwinds will be volume and price because we are guiding toward a 4% to 4.5% top-line growth. Mix effect will be a headwind because we expect our OE business to grow more next year. Supply chain, as Paul said, will remain fluid. And then of course, we're not sitting on our hand in this environment, we're also taking targeted savings initiatives. So, all of that in the round is what led us to guide to moderate margin improvement for next year.
Andrew Wilson: Thank you. That's helpful. My second question is, I guess, very different. I'm interested around the promotion, I guess, of the China role to the exec committee. I think it's probably been felt that Smiths has been probably underweight in terms of emerging markets more broadly and China, maybe specifically. I appreciate its early days in terms of developing that strategy, potentially, but interested in terms of your perception of how that opportunity is being managed and targeted previously, kind of, what was right with that and what was wrong with it? And maybe what difference we might see going forward, because it feels to me that potentially could be quite a big opportunity?
Paul Keel: We agree with you, Andy. I think I'd answer the question in two ways. So, first, in the near-term, there's no question that there are challenges to operate in China. There's well-known geopolitical forces at play here and then there's localized impacts, not least of which is the COVID lockdowns. So, in the near-term, there are challenges. But Smith's 171-year old company. We think as much in terms of the next quarter century, as we do the next fiscal quarter, and over the next 25 years, you just have to believe that a global company like ours, will benefit from a stronger presence in China. So that would be thought number one for you. The second is in terms of the structure and the change that we made. Over the past 30 years, many global industrial companies have used China as you know, sort of a factory for the world. That's never been our strategy. We're a local for local business model.  And so the change that we've put in place, elevating China as an operating unit inside Smiths supports that strategy. We think the local market in China alone is sufficiently interesting to warrant that that structure in the investment that we're making. So, those would be the two things I'd tell you with respect to the change we announced in China.
Andrew Wilson: That's very helpful. Thank you, Paul. Thank you, Clare.
Paul Keel: Thank you, Andy.
Operator: Thank you. We will now take the next question. Please stand by. And the next question comes from the line of Andre Kukhnin from Credit Suisse. Please go ahead. Your line is open.
Andre Kukhnin: Good morning. Thank you very much for taking my questions. I'll go one at a time as well, please. So, firstly, only investment in growth, could you comment on what you expect that to be in 2023? Whether you are kind of already at a run rate of investments, that is sufficient? Or would that still be a further ramp up? And a bit more broadly, how would you envisage balancing that versus the external environment? Should we see maybe changes and the deterioration, is that something that you can select? So, is there a firm, kind of, rigid plan for ramping up investment and growth, regardless of external environment?
Paul Keel: That's a good question. So, first, fiscal 2022, you saw that we grew organically top-line, call it 4% reported growth, call it 7%. And yet, we grew R&D by 14%. So, we were able to perform well against our total growth ambitions and invest even more aggressively into building the future of Smiths. And that will be our general headset here in fiscal 2023 as well. Now, that brings us to the second half of your question, will we moderate? Will we adjust based on macro forces? And the answer is, of course, you know, as Clare mentioned in her comments, we're laser-focused on what we can control. And we're trying to remain nimble in responding to what we can't control. And so if the world says that we have to adjust our plan a little bit, we'll do exactly that.
Andre Kukhnin: Great. Thank you. And second question, just a quick one, could you give us some idea of -- like even ballpark figures of the 4% to 4.5% organic growth that you guys saw for 2023? How much of that is already covered by carryover of pricing from increases that took place during fiscal 2022 and will be fully annualized in 2023?
Paul Keel: You know, big numbers. Let's set aside Detection for the moment because of the industry dynamics there and the volume consequences. Across the other three quarters of our business, the balance between price and volume is roughly equal. And I'm not able to tell you what's going to happen with inflation moving forward, but that's our general headset. Our approach is to cover raw material inflation and wage inflation with our own pricing and then do extra work in making our own operations more efficient so that we can make those incremental investments in growth. And our playbook seems to be working all right, and we'll continue driving it here, fiscal 2023.
Andre Kukhnin: Great. Thank you. And just the last one on Flex-Tek, given the meaningful U.S. resi exposure there and the dynamics of kind of permits turned down already starts just turning down activities still holding up. Could you comment on kind of how ready you are for potentially for that kind of what looks like an inevitable downturn in activity? And is there any way you can help us to think about to what extent you can maybe mitigate that in for Flex-Tek specific purposes or reasons, given that it supplies into HVAC systems and heating, which tends to be going through kind of a bit of its own cycle with the upgrade activities taking place, thanks to energy efficiency initiatives.
Paul Keel: Yes, as you guys know, Flex-Tek is a fabulous business. It's now essentially tied for a second largest business and that's because of that sustained growth both on the top and bottom-line that Clare referenced the five-year CAGR of 14% top-line and the five-year CAGR of profits better than 15%. This business just finds a way to perform, regardless of what the world throws at them. Now, specific to your question. And the exposure to U.S. residential construction, about 80% of our business is industrial and half-ish of that is residential construction. 20% of the business is aerospace. So, there is a natural balancing within that that business. Aerospace -- and as I mentioned in my overview comments, the outlook over the next three, five plus years is favorable. Our aerospace business is growing even more quickly right now than residential construction. So, we see the same macro data you do, although we do not feel it currently in either our P&L or our order book, we look at the macro indicators for the U.S. housing market and you have to believe that will come off the boil at some point that will moderate -- our aerospace business will continue to accelerate and Flex-Tek will continue to do what it does, which is grow the top-line and deliver operating leverage.
Andre Kukhnin: Got it. Thank you very much for your time Paul.
Operator: Thank you. We will now take the next question. One moment, please. And the next question comes from gang of Mark Davies Jones from Stifel. Please go ahead your line is open.
Mark Davies Jones: Thank you. Morning, Paul. Morning, Clare. Two questions on the outlook please. Given the macro uncertainty, it's a remarkably precise range of outcomes that you've given us in terms of that very tight organic growth trend for 2023. So, just trying to understand the competence that sits behind that how much order visibility -- forward visibility you have in businesses like Crane and Detection at the moment? How much of the next year is covered by existing orders? I'm assuming that you get much shorter lead-times in business like Flex, is that correct?
Paul Keel: Thanks for the question Mark. Sounds like a perfect time for Clare to step in.
Clare Scherrer: Thank you for the question. So, we were confident to give you the 4% to 4.5% guidance based on the momentum that we exited FY 2022 with and given the order intake that we've seen, and we gave you some of those statistics, 11% order intake growth for the group. And we see that especially in John Crane at just under 11% and in Detection, while those are multi-year contracts, we see that order intake at just under 14%.
Mark Davies Jones: Great. And the other part of this is currency, given the changes in scope, could you give us some indication of what the dollar exposure is in terms of share of revenue now, how bigger tail in that could be if current rates prevail?
Clare Scherrer: Absolutely. So, if current rates prevail, you should think about the tailwind from FX translation being 5.5% for both the top-line and for the operating income line.
Mark Davies Jones: Thank you very much indeed. If I'm allowed to sneak in a third. The restructuring messages taking in 2023, is that all cash? And why we decided to take that below the line? Change of prior policy on that?
Clare Scherrer: Yes, the targeted initiatives that we're taking are, firstly, specific to this year. Secondly, they're unique. And the reason we chose to take them below the line is because that will give us and you better comparability with our peers, who historically and at present are taking similar actions and taking those charges below the line.
Mark Davies Jones: Thank you. And they're all cash costs, are they?
Clare Scherrer: Yes, they are largely cash costs.
Mark Davies Jones: Thank you very much.
Operator: Thank you. [Operator Instructions] We will now take the next question and it comes from the line of Andrew Douglas from Jefferies. Please go ahead, your line is open.
Andrew Douglas: Morning, guys. Three questions from me please. Can you just give us a feel for Detection and the restructuring program that you're undertaking looks like you're taking a bit of cost out to improve the flexibility and improve the margins? Have you done all that you can in terms of Detection? Or if the business doesn't get where you need it to get to, you can take more cost out and drive that margin high? Secondly, and apologies I was late on the call. So, sorry if you've already discussed this. Working capital was a bit of more of an outflow than I thought. When can we think about that working capital unwinding and coming back into the business? And then last, but by no means least, your share buyback runs out at the end of the year or start of next year. Absent any M&A, would you do another share buybacks given the strength in your balance sheet? Thank you.
Paul Keel: Why don’t I take detection, Clare will give you working capital and return of capital. So, detection. Detection, is playing out pretty much exactly as we described it last fall's Capital Markets. We thought that it would have a continued contraction from an industry perspective in fiscal 2022 and we would start to see the indicators of a turnaround for fiscal 2023. Those indicators we look at are threefold. First, we look at the non-aviation security sectors, what we call OSS, other security systems. And as you can see from the results this morning, those are in growth. The second thing we look at is the order book across aviation and other security systems and that is also returned to growth. The third thing we look at, of course, is the timing of those orders and how that converts then from the order book into the P&L. And as Clare said, we have strong order growth in Detection that spans multiple years. So, you can't look at the full 14% and expect that in the next 12 months. But that gives us confidence that that business will return to growth. So, the cost actions that we're taking, it's a smaller business because of the revenue declines over the past couple years. Just prudent to respond to that and we'll benefit with increased operating leverage here is that as the top-line starts to head back north. You want to take working capital?
Clare Scherrer: Great. Working capital and cash conversion more broadly. So, we've demonstrated in the past that we can consistently generate 100% cash conversion. This year, we delivered 80% and we view that as solid given the question you asked about working capital. So, we did invest in capacity expansion, as I mentioned earlier in my remarks, but importantly, we really invested in supply chain. So, said simply when we had the option to secure supply for source material -- for scarce materials, we did that because we wanted to underpin growth for this year, as well as for next year. So, for certain, when supply chains begin to normalize, we will begin to see improvement in our working capital sales, as well as in our cash conversion. And then you also asked a question about our buyback. So, let me spend a minute on that. So, a pillar of our strong financial framework has always been to return surplus capital to shareholders. And as Paul mentioned, in FY 2022, we returned £661 million, £511 million of that was through the buyback and £150 million was through our dividend. Right now, we're simply focused on completing the rest of the buyback program that we are in the midst of. We are just over 75% of the way through that buyback program, which means we have about £175 million more to complete, that's going to take us into calendar 2023. When we complete the buyback, we will step back and assess everything in the round. So, of course, our foremost priority is to invest in inorganic and when attractive opportunities present themselves in organic growth, we'll take into account our commitment to a progressive dividend, and we'll also, of course, take into account what's happening in the macro environment at the time, but we'll just step back and take a very thoughtful decision about what's next from a capital allocation perspective then.
Operator: Thank you. We will now take the next question. And the next question comes from the line of Jonathan Hurn from Barclays. Please go ahead, your line is open.
Jonathan Hurn: Hey guys, good morning. Just three questions, if I may. Firstly, can we just come back to Interconnect, if you look at that margin for the full year, it came in around about 18%, which is pretty much the highest level you've had for over 10 years? How do we think of that margin going forward for Interconnect? And also can you just talk a little bit about what you're seeing from your semi-con customers? And essentially what they're saying we've had seen some people calling, or seeing signs of that cycle down turning? So, that was the first question, please.
Paul Keel: Yes. So, interconnect, broadly has three main businesses, they have the semiconductor test business that you referenced, they have a connectors business that serves a number of different markets, and then they have the satellite communications business that I mentioned in my comments. Right now all three of those businesses are growing nicely. Semiconductor test in particular, we don't -- similar to the Flex-Tek question, we don't feel or see in either our P&L or our order book, a slowing there. But it's a similar kind of dynamic where if you look at the macro indicators, you have to believe semi con's going to come off the boil. That though will be balanced by this satellite communication business we have, which is the fastest growing part of Interconnect right now. Do I think that you can count on our Interconnect growing 14% in perpetuity? Probably not. But it has that nice balance between the three businesses. And how that plays out with margins? Their scale economies in electronics businesses as you well know. So, we will benefit from that here is that continued acceleration feeds the P&L. We're also making a lot of investments in that business, both in our supply chain, the automation work that Clare referenced and in R&D. So, we feel pretty good about Interconnect right now, both in terms of its top-line performance as well as the margin dynamics.
Jonathan Hurn: Thanks. That's very clear. Second one if I can just maybe just stick on the margin, but just come over to Flex-Tek. If we look at that second half, obviously, really strong organic growth coming through there. But if we look at the margin in H2, it was down sequentially versus H1. Why did you not see as good gearing in the second half since as you did in the first half for that business?
Paul Keel: I mean, it's north of 20% operating margins growing at 16%. To be honest, we didn't shake them down too hard for that in the second half. We thought it was a really nice performance by that business. So, I don't mean to dodge the question, but--
Jonathan Hurn: Now, its fair. Don't get me wrong, I wasn't quite -- I was just curious if there's any underlying dynamics in the business. Was it a mix issue -- it was just more than that? I totally accept, yes, a great performance. I was just trying to understand why probably -- I thought it would have been stronger for that level of volume growth that was all.
Clare Scherrer: Well, I would add, we think there was a very strong margin performance, but also, we invested in the launch of the Python refrigerant line set and we also opened a new facility in Houston, which allows us to have geographic expansion and to help fulfill the strong demand that we see. And so we did invest to underpin future growth in that business.
Jonathan Hurn: Okay, that's very clear. And maybe I can just squeeze one sort of final one. And just coming back to John Crane and Detection, obviously, as you said, in answer to one of the early questions, they have the longest order visibility. Can you just sort of talk a little bit about how those order books sort of play out? Do those orders get repriced for inflation? Are the sort of clauses that come through that kind of take on increasing input costs?
Paul Keel: Yes, for John Crane, they have both the OE component and then the aftermarket. So, OE right now is about 30% of that business, aftermarket is about 70% and the cycle-time is different between the two. Of course, an aftermarket order, the conversion from order to revenue is a matter of one to two months, much longer on the OE side. So, the way the inflation plays out there both on the cost and the revenue side. As we see inflation on the input side, it takes us a couple of months to take that out of inventory before you see it in the P&L. Similar on the pricing side, so we have been raising our prices, in parallel with what the industry dynamics have been. You see that very soon on the aftermarket side, it shows up in the P&L one to two months. It'll take a couple more months for some of those orders to then on the OE side to show up. So, you get that balance between the inflation and the inventory working its way off the balance sheet, and you have the balance of pricing working its way onto the P&L.
Jonathan Hurn: That's great. Thanks very much for that. Thank you.
Operator: Thank you. I would like to hand back over to Paul Keel for final remarks.
Paul Keel: Okay. Well, thanks, everybody, for joining us this morning. Hopefully, it came through, we feel very proud of the year we just put up. Our fastest organic growth in nearly a decade, very strong EPS expansion, and returning £661 million to shareholders. On top of that, we are very conscious about making investments for the future to continue building on Smiths. We made investments in the core of our value engine in R&D up 14%. We made a lot of investments in our supply chain, both in terms of the working capital commentary, we had also CapEx and new facilities. We made a big investment in our people. And so with all the momentum we feel coming out of the strong results last year, that translates into that 4% and 4.5% organic revenue expectation that we set forth with modestly improving margins. So, thanks again for your interest and support and I think we'll leave it there for now.